Operator: Greetings. Welcome to the voxeljet AG Fourth Quarter 2022 Financial Results Conference Call. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Johannes Pesch. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudi Franz, voxeljet's Chief Financial Officer. Yesterday, after the market closed, voxeljet issued a press release announcing its fourth quarter and full year financial results for the period ended December 31, 2022. The release as well as the accompanying presentation conference call is available in the Investor Relations section of the company's website at voxeljet.com.  During our call, we may make certain forward-looking statements about the company's performance, including expectations and results from our current order backlog. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed, including the risks and uncertainties caused by the current COVID-19 pandemic and resulting uncertainty in the global economy.  For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you. Thank you, Johannes, and good morning, everyone. Thank you for joining us on our earnings call today. We are very happy with the results for the quarter. In our Systems segment, we had a strong order inflow and started the new business year 2023 with a record high order backlog. Regarding our new VJET 3D printers, we have now 5 units of this large next-generation 3D printers in operation at the Bavarian carmaker and have booked revenue for all of them.  In our on-demand printing segment, Services demand continues to be extremely robust, both in Europe and U.S. This high demand is driven by large production orders, which is very exciting. Let's turn to Slide 4 and a brief history of our company. On the left side, you can see the first prototype that we built around 1996 and the related patents. On the right side, you see our largest 3D printer, VX4000. Our booth reached back to the year 1995 with the first successful dosing of UV resins.  In the context of a hidden project, initial 3D printing tests were performed at the Technical University of Munich. I co-founded the company on May 5, 1999, as a spinoff from the university with a clear vision in mind to establish new manufacturing standards. Today, we produce -- we provide our customers a strategic competitive advantage by upgrading the existing production methods to additive manufacturing solutions.  Let's turn to Slide 5, where we describe our technology. In the additive manufacturing market, there are likely more than 10 different technologies, each with a specialized field of application. We use a technology called binder-jetting. Binder-jetting is especially suited for high-volume manufacturing because of its potential to scale. With our VJET X technology, we are pushing new boundaries.  On Slide 6, you can find a high-level overview of our company and recent key developments. In October 2022, we completed the sale-leaseback transaction of our headquarters here in Germany, with the gross proceeds of approximately EUR 26.5 million. We cleaned up the balance sheet and repaid our financial liabilities. In December 2022, we completed the revenue recognition of all 5 VJET X units, the printers, which are integrated into a fully automated casting line are in operation at the Bavarian carmaker's facility.  The production line produces several hundred complex engine components per day. The components are used to make the cars more efficient by improving the temperature management because the components are 3D printed, you have conformer shapes, can get closer to the heat and dissipate it more quickly. VJET X uses a new inorganic binding systems for maximum environmental compatibility when casting the 3D printed core.  Turning to Slide 7, where we explained our 2 business segments. In the Services segment, we operate our own 3D printers in 3 facilities around the world to offer affordable on-demand access to our technology. Demand in this segment has been outstanding in recent months in Europe and in U.S., and we were basically at or over overcapacity for the whole time. The barriers to entry are very low as customers only need to send in the 3D data, and we will print parts for them. That is a great and easy way for our customers to understand new business opportunities in 3D printing.  Customers come from various industries, including automotive, aerospace, general engineering, as well as art and architecture. In the U.S., one of our largest on-demand printing clients is a supplier to a leading space exploration company. In our Systems segment, we manufacture and sell industrial grade, high-speed, large-format 3D printing systems geared towards mass production of complex models, molds and direct parts. Systems revenue also includes recurring revenue from the sale of consumables, maintenance contracts, upgrades and other aftersales activities. This recurring portion of revenue is growing as the installed base of our 3D printed expand.  Let's turn to Slide 8 and an illustration of the wide range of applications of our technology. To give you some examples, there is an innovative yacht company producing several thousand advanced propellers with our technology. They are a leading U.S. space exploration companies using our technology to make their rockets more aerodynamic. There are carmakers using our technology to make their vehicles more lightweight and energy-efficient. There's a leading Swiss university in Zurich, ETH using our technology to make the most amazing concrete structures and there are many more.  They are all seriously looking at adopting our technology for well-tuned applications, and this interest is translating into orders. In recent months, we have seen some of the best order inflow for our 3D printers ever. In almost every discussion that we have with our customers, we hear that they need to create versatility, localization and flexibility. We can help them of these areas with our 3D printing technology, which is well suited for industrial production. At the same time, we are seeing that the effective adoption of 3D printing requires a fully integrated ecosystem.  This includes pre- and post-processing of the 3D printed parts. We believe we are ahead of our competitors in this regard because of the experience we have gained through VJET X and similar projects. Slide 9 shows an art piece we recently printed for the BMW Art Club in Warsaw, Poland. It was amazing to see the ideas clients come up with and to be able to make such ideas into reality with our binder-jetting technology.  Slide 10 shows our global sales network and production footprint. As you can see, we have reached an established position in all major markets in Europe, U.S.A. as well as Asia. We stopped our activities in Russia and Belarus until further noted.  Turning to Slide 11. On the left side, we have summarized our USPs. We differentiate ourselves from our competitors by build size, material diversity and speed. This leads to a complete set of industrial 3D printers to address the challenges and needs that are most important to our customers. Each model can be used with multiple material sets. On the right side of the slide, you can see our portfolio of 3D printers and the corresponding build volume. Layer times vary with platform and process and can go as fast as 4 seconds with VJET X.  Let's start with the formal part of the presentation. I will begin with an overview of the results for the fourth quarter. Rudi will then provide a more in-depth view of our financials for the fourth quarter and full year 2022 and our outlook for 2023. Following his comments, we will be happy to take your questions.  Turning to Slide 13. Total revenue for the fourth quarter of this year was EUR 10.8 million as compared to EUR 10.9 million in the fourth quarter last year. We are happy to note that the fourth quarter 2021 was a new record for our company in revenue. EBITDA was positive for the fourth quarter 2022. This was primarily the result of the gains from the sale and leaseback transaction completed in October 2022.  In Services, our on-demand 3D printing segment, we saw another strong quarter with continued high demand for our products and quarterly revenues grew 11% from an already strong fourth quarter in the previous year. In Systems, we sold 9 printers in the fourth quarter of 2022. This is unchanged from the fourth quarter of the prior year. As a result of a less favorable product mix in our Systems segment, gross margins were lower, mainly because we sold smaller systems that carry smaller margins.  We continue to see challenges when it comes to lead times for certain electrical components for our printers, and we are working hard with our suppliers on this topic. In Services, gross profits from the German and the Chinese service centers were lower. In general, quarterly gross margin fluctuations in Services can be the result of the timing of installation, for example, of a new printer.  In China, utilization was weak for the quarter. In the U.S., gross margins further improved. Slide 14 breaks down order backlog by quarter revenue by geography and operating expenses by category. When looking at revenue by geographic region, we target an even distribution across the 3 regions to hedge against risk from local events. Looking at order backlog for 3D printers, I would like to highlight, we ended the business year 2022, not only with the new record high for full revenue -- full year revenue, but also with a new record high for fourth quarter order backlog of 3D printers.  Slide 15 summarizes recent improvements in the performance of our binder-jetting technology for indirect metals. Indirect metals means printing a mode, pattern or core, which is then used in a casting process to reduce the actual metal box. The casting process has been refined over thousands of years and is geared towards high throughput and low cost and consistent quality. We combine the full design benefit of 3D printing with the cost advantages of conventional casting.  With this combination, we offer our clients highest quality metal parts at a fraction of the cost of direct metal 3D printing. Our hybrid approach also means that clients will benefit from huge economies of scale, which is not the case for other 3D printing technology. So what do we mean by scalability? On the left side of this slide, you can see a standard VX1000 print head with an output of 12 liters per hour, the same print head parallel axis movement is approximately 15% faster. If the parallel recoating upgrade is installed, then the layering unit and the printer move simultaneously.  The high-performance print head, the third column from the left is simply larger, and as a result, more than 4x faster. The latest iteration is the next-generation line head print head with optional bidirectional recoating and single-pass technology performance is north of 160 liters per hour or more than 13x faster than the standard version. This innovative -- innovation makes it possible by our 20 years of research and expertise in precision mechanics, microfluidics and material science. On the next 2 slides, you can see 2 examples of how our clients TEI and Sharrow Marine are using our technology for series production. Turning to Slide 16. TEI is using the world's largest 3D sand printer purchases VX4000 to produce cores for the series production of large-format, weight saving structural components for the Cadillac Celestiq. Using 3D printing, the novel underbody structure consists of only 6 large precision sand cast aluminum parts. Each of the 6 castings reduces the number of parts roughly by 30 to 40 components compared to a typical [indiscernible] construction.  On Slide 17, you can see the Sharrow propeller. You have heard me talk about this very exciting project in one of our earlier presentation. Basically, the Sharrow propeller is the first major advancement in propeller technology since the 1830s. Because of the new design, it has significantly better performance [indiscernible]. All of these new propellers are 3D printed on our VX1000 PMMA printers and then casted. This way, Sharrow can produce the highly complex geometry at the fraction of the cost of direct metal printing. Yamaha will offer the Sharrow propeller as a new option to more than 100 of the world's leading boat builders and its network of more than 2,000 dealers. This is a fantastic project.  Slide 18 summarizes our value proposition. Our commitment to technology leadership is stronger than ever as can be seen by how we have advanced our research and development strategy during the last few years. We have now started to capitalize on these investments. We believe we are on our way to reach profitable growth. With that, I would now like to turn to Rudi. Rudi, please.
Rudolf Franz: Thank you, Ingo. Good morning, everyone. We're very pleased with our 2022 results where we reached the midpoint of our revenue guidance to a new record high for full year revenue. We also delivered positive EBITDA in the fourth quarter of 2022, with the successful completion of the sale and leaseback transaction, the repayment of all debt in the 2 successful rounds of financing and the solid backlog of printer orders, we believe we are well prepared for the fiscal year 2023.  I will now take you through the financials for the fourth quarter and full year 2022. After that, we are happy to take your questions. Turning to Slide 20. Fourth quarter 2022 revenues decreased 1.1% to EUR 10.8 million in the fourth quarter of 2022 as compared to EUR 10.9 million in the previous year's fourth quarter. We sold 9 printers in the quarter as compared to 9 printers in the fourth quarter 2021.  Gross profit and gross margins in the quarter decreased to EUR 2.9 million and 26.5% compared to EUR 3.6 million and 32.7% in the fourth quarter of 2021. Let's break this down. In Systems, gross profit margins from the sale of 3D printers decreased as a result of a different product mix. We sold smaller systems, which generate lower gross margins. In Services, Germany and China contributed lower gross margins as compared to the fourth quarter of the previous year.  In China, utilization was lower. And in Germany, we installed a new big print head. We have also moved expensive materials, including the [indiscernible] ceramic to print benchmarks for our clients. The next slide show our segment reporting for the quarter. On Slide 21, revenues from our Systems segment, which includes revenues from selling 3D printers, consumables and spare parts, as well as maintenance decreased 4.4% to EUR 8.1 million for the fourth quarter of 2022 from EUR 8.5 million for the fourth quarter of 2021. We sold 8 new and 1 refurbished printer this quarter compared to 7 new and 2 refurbished printer in the fourth quarter of 2021. Product mix was different as we sold smaller scale printers, which generate lower revenue and gross margin.  On Slide 22, Services revenue increased 10.6% to EUR 2.7 million in the fourth quarter of 2022 compared to EUR 2.4 million in the same quarter 2021. Services gross profit margin decreased to 25% in the fourth quarter of 2022 from 30.9% in the same quarter 2021. In the U.S., gross margins improved in line with the excellent utilization. Looking now to the rest of the financial highlights on Slide 23. Selling expenses were EUR 2.4 million in the fourth quarter of 2022. The majority of selling expenses are personnel expenses and distribution expenses, such as freight and commissions for sales agents. This compares to EUR 2.0 million in the fourth quarter of 2021.  Administrative expenses were EUR 1.8 million as compared to EUR 1.6 million in the fourth quarter of 2021. Keep in mind, we typically spend more than EUR 1 million in auditing fees per year and over EUR 5 million in legal fees. Research and development expenses were EUR 2.1 million in the fourth quarter compared to EUR 1.4 million in the same quarter 2021. These expenses are usually driven by individual projects, especially through the consumption of materials as well as the demand of external services has made very significantly from quarter to quarter.  Operating profit was EUR 0.2 million in the fourth quarter of 2022 compared to an operating loss of EUR 0.8 million in the comparative period of 2021. Improvement was mainly due to gains from the sale and leaseback transaction amounting to EUR 0.3 million. Net loss for the quarter was EUR 0.2 million or EUR 0.01 per ADS compared to a net profit of EUR 1 million or EUR 0.15 in the prior year same quarter.  In the fourth quarter of 2021, the net financial income of EUR 2 million drove us to profitability. The financial income resulted from the revaluation of the derivative and financial instruments with the European Investment Bank as part of the financial results in both the noncash items. EIB loan has been fully repaid, which means we expect less volatile financial results going forward. We have provided the same presentation for the full year ended December 31, 2022, on Slide 24 through 27.  Slide 28 shows selected balance sheet items. At December 31, 2022, the company had cash, cash equivalents and short-term investments in bond funds of roughly EUR 15 million. This includes restricted cash of approximately EUR 3.0 million. Total financial debt at December 31, 2022, was approximately over EUR 0.2 million. Weighted average number of shares outstanding at December 31, 2022, were 8.3 million shares. Current shares outstanding are 9,134,724 ADS. Moving now on to Slide 29 and our financial guidance for full year 2023. Full year 2023 revenue range is expected to be between EUR 27.5 million and EUR 32.5 million. SG&A spending is expected to be in the range of EUR 14 million to EUR 16 million, and R&D spending is expected to be in the range between EUR 7.5 million and EUR 8.5 million. Depreciation and amortization expenses are expected to be between EUR 3 million and EUR 3.25 million. CapEx spending for 2023 is projected to be in the range of EUR 3.75 million to EUR 4.25 million, which primarily consists of ongoing investments in our global subsidiaries.  Adjusted EBITDA, which excludes the impact of foreign exchange valuation, is expected slightly negative to neutral for the fourth quarter of 2022. Revenue for the first quarter of 2023 is expected to be in the range of EUR 5.75 million and EUR 6 million. This concludes my remarks. And with that, we'll now open the call up for your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from Brian Kinstlinger with Alliance Resource Partners.
Unidentified Analyst: This is [indiscernible] on for Brian. To start in regards to your backlog, could you quantify what percentage of it includes demand for your VJET X and VX4000, which are your higher priced products? And is demand growing for those?
Rudolf Franz: We don't disclose the individual breakdown for our printers. But what I can say is that the current backlog is larger format printers, and the demand for the -- for applications, so we have multiple systems, in operation its growing. So as we have discussed in the call, Sharrow Marine and TEI in the German car manufacturer, we now have 3 clients who operate more than 3 or 5 printers. Demand is growing.
Unidentified Analyst: Great. Good to hear. Could you provide an update, and I may have missed this because my call dropped for a second. But could you provide an update on your GE Renewables project, is it still on track? And will you finish prototyping and testing by the end of this year?
Ingo Ederer: So the GE project is going on. As lined out, we are in the final stages of completing the design of the printer. The colleagues from the research institute are in the final stages on completing the mold design for the castings. Since we are, let's say, facing delays in sourcing some of the components, it will probably take a little bit longer for us to complete the prototype printer. So we expect to be probably already, of course, assembling the prototype this year, but not being able to operate initially.  This will probably be beginning of next year. But anyway, we are on track. We believe that we can still match up with some of the goals, and we are quite happy with the development.
Unidentified Analyst: All right. That ties into my next question. How is the current supply chain environment? Are you -- outside of the GE Renewals, are you seeing any improvement? Or are you expecting just general delivery delays due to the headwinds?
Ingo Ederer: So we see improvement. Definitely, the improvement means that we get now lead times. Beforehand, we didn't get firm deliveries. So we now can calculate, but the lead times are still pretty long, sometimes between 8 and 9, sometimes even 12 months. So we need to count and calculate with that. I think it's under control. So the colleagues are doing a great job to source critical components early enough to have them available when we need them.
Unidentified Analyst: Great. And one last question. Now that the quarter is essentially over, can you reveal how many new printers you sold in the first quarter? And of the printers you sold in the fourth quarter, how many were new customers versus existing?
Rudolf Franz: Again, we -- in our given guidance, we don't disclose the number of printers that we sold. And we as well do not disclose whether it's new or existing clients. Have in mind that every printer sale is generated out of our service center activities initially or through clients who have existing equipment. And what we see is that the demand is growing on a steady basis.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call back over to Dr. Ingo Ederer for closing remarks.
Ingo Ederer: Thank you. To summarize, a key focus that will create separation for us over the long term is our expertise and IP in binder-jetting and high-speed sintering. Ultimately, it's about becoming more productive at scale, and I'm highly confident in our ability to execute on this. Thank you for joining today's call, and we look forward to speaking with you again in our next earnings call, which we expect to take place in May with results for the first quarter 2023. Thank you all. Have a good day. Bye-bye.
Rudolf Franz: Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.